Operator: Welcome to the Cambridge Bancorp Fourth Quarter Earnings Conference Call. We will be making forward-looking statements during this call and actual results may differ materially. We encourage you to review the disclaimer in our earnings release dealing with forward-looking information, which applies to statements made in this call. In addition, some of our discussion may include references to non-GAAP financial measures. Information about those measures, including reconciliation to GAAP measures may be found in our SEC filings and in our earnings release. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Denis Sheahan, Chairman, President and Chief Executive Officer. Please go ahead, sir.
Denis Sheahan: Thank you, and thank you everyone for joining our earnings conference call today. I'm joined by our Chief Financial Officer, Michael Carotenuto, who will provide a review of the fourth quarter and an outlook for 2023. For your reference, 2023 estimates are included on Page 23 of an Investor Presentation we posted along with the earnings released this morning. I'm pleased to report another solid year at Cambridge Bancorp. Loan growth was robust, asset quality remains excellent, capital grew very nicely, and the net interest margin expanded during the year. All of this balanced against a challenging period for deposit growth and wealth revenue as a result of market volatility and interest rates. Organic loan growth, excluding merger balances continued into the fourth quarter in both commercial and residential lending with 3.6% linked-quarter growth and year-over-year growth of 13.3%. Core deposits, excluding merger balances, decreased by 5.2% during the year as a result of increased market competition, attractive yields within the fixed income markets and clients using funds for other opportunistic investments. Wealth Management assets decreased primarily due to market volatility during the year. Client assets under management and administration totaled $4 billion as of year-end '22. The tangible common equity ratio rose to 8.12% as of year-end, and the company delivered a return on average assets of 1.1% and a return on tangible common equity of 14.18%, both on an operating basis. Another highlight was the completion of our merger with Northmark Bank, adding three new markets and approximately $430 million in banking assets. And we are on track for system integration in the second quarter of this year. We also announced a $0.03 per share increase to the quarterly common stock dividend to $0.67 per share, a 5% increase for the first quarter of 2023. Importantly, asset quality remains superb with nonperforming assets are just 12 basis points of total assets. I thought I'd take an opportunity to provide insight into a segment of the bank's loan portfolio that gets questions from investors. That's the office lending portfolio, and it's understandable why we get and other institutions get those questions post-pandemic. Our office lending portfolio represents 8% of the total loan portfolio, or $319 million. The average loan to value at origination was 48%. In particular, questions seem to focus on the urban areas and the cities and our exposure there. The City of Boston office lending market for us represents 2% of the total loan portfolio with a weighted average loan-to-value at origination of 40%. The City of Cambridge represents 1% of the total loan portfolio with a weighted average loan to value at origination of 41%. There are no delinquencies in the office lending portfolio and all loans are pass rated. Before I bring Michael in to make a few comments, I will make a general comment regarding our outlook for 2023. While we expect this year may bring a recession and a year of slower balance sheet growth in both loans and deposits, we are prepared for the worst. Capital and reserve levels are very adequate. And based on our emphasis of conservative loan underwriting, we believe we are well prepared for whatever environment we are presented with. In addition to these areas, our focus will be on controlling the cost of funds and evaluating opportunities to reduce operating expenses where feasible. Overall, I continue to be immensely proud of my team support of clients of one another and our communities throughout 2022. I will now ask Michael to make a few comments regarding the fourth quarter, and the outlook for 2023. Michael?
Michael Carotenuto: Thanks, Denis. Good morning, everyone. To highlight a few items within the quarter, diluted operating earnings per share were $1.92 for the fourth quarter and $7.80 for the full year. The adjusted net interest margin, which excludes the impact of merger related loan accretion, increased by 8 basis points to 3.01%. Loan accretion during the fourth quarter was approximately $915,000 or 7 basis points on a GAAP basis. The cost of deposits, excluding wholesale deposits, increased by 21 basis points to 45 basis points for the quarter as a result of client requests for increased rates. Provision for credit loss in the fourth quarter consisted of two primary items; the first being the nonrecurring Day 2 CECL reserve build associated with the Northmark merger of $2.2 million pre-tax, and the remainder or $1.4 million pre-tax associated with proactive reserve build. Within non-interest income for the quarter, Wealth Management revenue decreased from the third quarter due to approximately $450,000 in revenue associated with seasonal tax preparation fees. Our noninterest expenses for the quarter: professional services were increased from the third quarter, primarily as a result of consulting expenses associated with a renegotiation of our core data service provider contract and other various contract reviews. This provided a material benefit to the run rate of technology costs in 2023 and beyond, and an important factor in managing increases to non-interest expenses. I will now turn my attention to the outlook for 2023, which again is included on Page 23 of an Investor Presentation we filed along with the earnings released this morning. The interest rate environment assumption for these expectations assumes that the Fed reaches 5% in the first quarter of 2023 and hold rates at 5% for the balance of the year. With an expectation of continued increased short-term rates, loan growth is expected to be lower than prior years. And given the expectation of slowing economic activity, we are currently assuming loan growth of 0% to 5%. Core deposit growth is expected to be between 2% and 5% for 2023. Growing and retaining deposits continues to be a priority for us during 2023. However, we understand this will be a challenge -- this will be challenging given competitive pressures and the current rates on fixed income securities. To that end, during 2023, we will look to use investment cash flow and net new client growth to reduce the approximate $487 million borrowing and wholesale CD position that existed at the end of 2022, to the extent possible. If achieved this will create a situation where total assets would remain fairly consistent to year-end 2022. Investment securities are expected to be reduced between $100 million and $150 million based upon current cash flow expectations. The adjusted margin is expected to be within 2.85% to 3% for the full year of 2023. Moving to non-interest income. The largest component of this category is Wealth Management revenue. Our assumption of a reduction within non-interest income of between 0% and 5% is derived from two key items: lower BOLI income and the lower starting point of assets under management. Within non-interest expense, we expect an increase in operating expenses of between 0% and 3% for 2023. This is off a base level of operating expenses of $107.3 million in 2022. The allowance for credit loss range of 90 to 100 basis points expects the continued strong asset quality that you've seen historically from Cambridge Bancorp, and we assume current unemployment forecasts remain consistent throughout 2023, which has an ending unemployment rate in the fourth quarter of 4.23%. Finally, and importantly, capital. Given the company's earnings profile, we would expect the tangible common equity ratio to continue to build throughout 2023 approaching 9% given the various ranges included within our guidance. MJ, now we will open the line for questions.
Operator: Thank you. [Operator Instructions] Today's first question comes from Mark Fitzgibbon with Piper Sandler. Please go ahead.
Mark Fitzgibbon: Hey, guys. Good morning.
Denis Sheahan: Good morning, Mark.
Mark Fitzgibbon: Guys, in the slide in the earnings release rather, you said that you see evidence of a slowdown. What kind of evidence you're seeing out there with borrowers?
Denis Sheahan: Well, I think, Mark, obviously, the obvious one is in the residential space, given the increase in rates, it's really slow down activity in that area. But that also extends into the commercial side at least at least for us. We, in talking with our clients, there's sort of this broad uncertainty among business clients. I think we'd all like some clarity as to when the Fed will end its campaign on raising interest rates. There's a slowdown in commercial real estate transaction volume. I think the best way I can describe it for you Mark is there is -- in terms of transactions for investors, there's today, this, of course, may change, there's a large bid ask spread. Sellers are not adjusting their exit cap rates to reflect today's interest rate environment. And then, buyers a challenge to make deals work due to the higher rate environment. So that's a segment of our business that we think will be slower. It doesn't mean there's not going to be any transactions, but we think it'll be slower. I think construction, which isn't a huge emphasis for us. Construction costs are high, finding skilled labor is tough, still in our market, so, I think, those in particular would be areas. And I've commented on the -- in the past, on the innovation economy in Massachusetts, which is such an important, fundamental strength of our economy, I would characterize it as experiencing a modest downturn. There are layoffs, evident in some companies to sort of to preserve cash and to extend the runway. But there still is a -- an optimistic, long view of the innovation economy in the state, the larger companies are still expanding. But there certainly is, I would characterize it as a modest downturn. So, I think it's reasonably widespread across the business community. And then the consumer section as well. As I mentioned in my first comment.
Mark Fitzgibbon: Okay, that's helpful. And then Mike a couple of modeling related questions. First, so your margin guidance of 2.85% to 3% excludes loan accretion. So, if we were to kind of add that back, it's sort of be an additional 5 to 7 basis points, roughly. Is that fair?
Michael Carotenuto: Yes, that's about right, Mark. Yes.
Mark Fitzgibbon: On the reported margin, okay. And do you have a feel for the trajectory of the margins throughout the year? How are you modeling it?
Michael Carotenuto: Yes. So, I think you're going to see lower in the first half and then recover in the second half, just because we'll have greater time to for new asset cash flows to come on at higher yields.
Mark Fitzgibbon: Okay, great. And then I heard your guidance about sort of expenses is sort of $27.5-ish million a reasonable run rate in the first quarter, do you think?
Michael Carotenuto: So, if you take the full year, I think you're just dividing it by four, I think that's reasonable. I mean, the first quarter always has a little bit higher expenses just because of payroll taxes and the like, right, but on average, that's about right.
Mark Fitzgibbon: Okay. And then, I guess I was curious, sort of a more strategic question. You've had a fair number of senior executives retire recently. I'm curious, does that signal any changes in strategy or incremental focus on any particular lines of business?
Denis Sheahan: No, I mean, retirements happened, and we're prepared for that we're very pleased with the succession plan and succession planning we had in place in the commercial banking division with two of our teams step up into the Chief Commercial Banking Officer role and the Chief Credit Officer role, so that's really terrific the succession planning there. We are initiating a search process for a new head of Wealth Management. So that will be an important, position for us to fill here in the first half of this year. And we feel optimistic about our ability to do so. But it doesn't signal anything other than people retire every so often.
Mark Fitzgibbon: Thank you.
Operator: The next question comes from Steve Moss with Raymond James. Please go ahead.
Thomas Reid: Hey, guys. This is Thomas Reid, Steve's RA. Can you offer us some insight on where new loan yields are today?
Michael Carotenuto: Yes, I can give you a little bit there. So, on the residential side of the house for 30 year, we're in the 6%-s. 7/1 ARMs or around 5.125% today. On the commercial side the house for fixed rate, it's in the high 5%-s, low 6%-s.
Thomas Reid: Okay, great. I'm also wondering, can you give us an update on sort of, how you're feeling about deposit pricing and beta going into 2023?
Michael Carotenuto: Sure. So, through the cycle thus far, our cumulative beta, our cost of deposits, excluding wholesale is about 7%. When you look at the last cycle, our beta was around 26%. This cycle, we expect it to be a little bit higher. So, we're assuming about a 30% through the cycle beta.
Thomas Reid: Okay, that's helpful. Okay, that's it for me. Thanks, guys.
Michael Carotenuto: Thank you.
Operator: [Operator Instructions] Our next question comes from Chris O'Connell with KBW. Please go ahead.
Chris O'Connell: Good morning.
Michael Carotenuto: Good morning, Chris.
Chris O'Connell: Yes, just wanted to follow-up on the prior question as far as the betas. Do you see, like -- yes, good organic deposit growth this past quarter, looking for net growth over 2023 as well. Do you think that beta ramps up in the first quarter and then slows? Or do you think it's going to be fairly consistent throughout 2023?
Michael Carotenuto: Yes, I mean, Chris, it's certainly hard to tell when it's difficult to predict consumer and business behavior in this environment. But if you look at what's happened, you've seen an increase in deposit costs since Q4 of last year. We expect deposit costs that continue to increase consistent with that guidance I talked about in terms of beta, but the timing of it, it's difficult to tell.
Denis Sheahan: And just also to be careful there, Mike, on -- I think, Chris mentioned growth in Q4, can you correct him...
Michael Carotenuto: Yes, Chris. So, when you look at deposits, just when you exclude the impact of the merger, we actually had a slight decline in core deposits during the fourth quarter.
Chris O'Connell: Okay, got it. Okay. And then, as far as the securities run off, the $150 million I think you mentioned for 2023, is the material schedule for that fairly consistent over the course of the year? Or is there any big chunks come in at one point or the other?
Michael Carotenuto: No, it's fairly consistent.
Chris O'Connell: Okay. And then, as far as the wealth management AUM, for the fourth quarter, how much was the kind of gross inflows versus the market impact?
Michael Carotenuto: So, during the fourth quarter, we had net client flows -- net client loss of about $17 million. Market impact during the fourth quarter was $230 million.
Chris O'Connell: Okay, great. And are you guys targeting or do you have any specific targets as to net client flows or kind of organic growth ex market activity on the Wealth Management segment for 2023?
Michael Carotenuto: We do, but we haven't we typically put that out there, Chris.
Chris O'Connell: Okay, got it. And for the loan derivative income, obviously, kind of a low point this quarter. Do you see any signs of that kind of improving in the near-term? Or is it really kind of a remain a little bit of a debt environment for the foreseeable future?
Michael Carotenuto: So, we're very interested in continuing to do derivatives with our clients, something that we're pushing on to the extent that we're successful. You'll see an increase in derivative income. But clients are intelligent. I mean, they may be looking for fixed rate right now that may change as we go throughout the course of the year. It's always been something that that's moved up and down dependent upon client preference.
Chris O'Connell: Okay, got it.
Denis Sheahan: We're assuming, Chris, that '23 will not be a robust year of loan growth per sort of my earlier comments in terms of what's happening in the marketplace. Should that change, I think the derivative revenue would also change.
Chris O'Connell: Great. I appreciate the time. Thanks for taking my questions.
Denis Sheahan: Sure. Thank you.
Operator: The next question comes from Bernard Horn with Polaris. Please go ahead.
Bernard Horn: Good morning. Two quick questions. The first is on loan. Your loan expectations on growth is like 0% to 5%. And I'm just curious if you have any -- you had pretty good organic loan growth last year, I think it was about 13%, excluding the Northmark merger. I'm just wondering if you can, are there any scheduled repayments on the loan portfolio that would kind of need -- therefore, you need to have higher growth to offset that, or is it just your expectation that the economy is going to be able to softer?
Denis Sheahan: I think it's the latter. Mike, would you agree?
Michael Carotenuto: Yes.
Denis Sheahan: It's the latter, Bernie, that just softness, the borrowers are generally on the sidelines building cash. And I think waiting to see what the new environment where we end up. We're hearing of projects sort of being mothballed. Just people -- the uncertainty is we understand why this is happening. But the uncertainty is not welcomed by a lot of commercial borrowers.
Bernard Horn: Sure. Makes sense. And then, on your payoff, did you have anything material in 2021? That would have been higher, had to not had the pay offs?
Michael Carotenuto: I don't think so.
Bernard Horn: And then on the -- that's fine. On the deposit side, it looks like you've got a tick up in, like wholesale deposits? Is that something you have look to increase in the prior year and the upcoming year? Or is it just things that came your way? Because people are looking for yield?
Denis Sheahan: No, Bernie, it's really -- it's an alternative to Federal Home Loan Bank basically. This is accounting for the robust loan growth we had and some deposit outflows for those clients who are searching for yield. So, it's either Federal Home Loan Bank or brokered CDs. It's not other than that. It's -- we put them basically in the same category with about $480 million of wholesale funds.
Bernard Horn: Yes, okay. That's -- that was my follow-on question. How does it compare to the FHLB borrowings, so great. Thanks. That's all I had. Good quarter.
Denis Sheahan: Thanks, Bernie.
Michael Carotenuto: Thanks, Bernie.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Denis Sheahan for any closing remarks.
Denis Sheahan: Thank you, everybody, for your participation. We look forward to speaking to you again at our next earnings release conference call.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.